Operator: Greetings. Welcome to the CXAI Second Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference call is being recorded. Now I would like to turn the call over to your host, Khurram Sheikh, Chairman and CEO of CXAI. Please go ahead.
Khurram Parviz Sheikh: Thank you, operator. Good afternoon, everybody. I'm joined today by our CFO, Joy Mbanugo, as well, and we are both excited to share with you our earnings for the second quarter of 2025. We will also provide an overall business update on our progress in shaping the future of work and creating transformative employee experiences with our state-of-the-art Agentic AI platform, CXAI pronounced sky. By now, everyone should have access to our earnings press release as well as the 10-Q that was filed with the SEC. This information will also be found on our website, www.cxapp.com or www.cxai.ai. With that, I'm going to move to the next couple of slides, which are disclaimer slides. You can read it on your own leisure when you -- after the earnings call. So I'm not going to go through each of the slides, but kind of show you the disclaimer slides. Okay. So I want to start by giving you a snapshot of the company. The CXAI platform is anchored on customer experience, CX and artificial intelligence AI is the most advanced technology solution transforming people, places and things in the workplace. We are solving the biggest problems in our industry post the pandemic, i.e., the return to office RTO and employee engagement. So, before I get into the specifics, what if planning your entire workday took seconds. That's what we can do with CXAI. We can schedule meetings, desks, parking and catering in a New York minute. We can keep you spatially aware of events, even food trucks, even help you hit your step goals without missing a meeting. This is the future of the workplace and its closer than you think. I know we've been talking about this for a while, but we are here now with the CXAI platform being deployed across the world with all our great customers. We as a company are located in the San Francisco Bay Area with regional tech hubs globally. The global presence and diversity of experiences gives us a leading edge as we shape the future of work everywhere. Of the 65-plus team members at CXAI, more than 70% are engineers focused on building agentic AI solutions and maintaining our technology and product leadership. The culture of CXAI is innovation focused with 3 core values: purpose, passion and positivity. We are passionate about solving the big problems in the future work using AI, and we are super positive about creating a new paradigm of digital transformation of the enterprise focused on employee experiences. We believe the employee is at the center of this multibillion-dollar growing workplace experiences market, and we're creating a new category in software, employee experiences. The CXAI platform is based on 39 filed patents with 19 of them already granted. We have actually one new patent granted this quarter. We'll talk about it later in the slides, but it's tied to our multidimensional mapping and object orientation technology. We are super proud to have some of the largest logos of the world as our customers that are at the leading edge of the employee experience transformation. Our customers are sophisticated buyers of technology solutions and do not compromise on quality, performance, security, reliability, scalability and the technology road map. One of the key differentiators for our business is that we have strong security and compliance credentials globally. We have both ISO 27001 and SOC 2 compliance certifications. We just recently went through this compliance and were successful in achieving them. And that is the reason why you see so many logos from regulated industries from the finance, health care, entertainment, technology industry. They use CXAI because they know they can trust us with their data and their enterprise security growth. If you ask me in a nutshell, what is our focus? Our focus is really in creating amazing employee experiences that create the engagement to drive actionable insights for our enterprise clients. So let me talk a little bit about what our architecture is and what the products are, and we'll talk about the market and what our results for 2025 Q2. So the CXAI platform is really a platform that's AI first and is driven to a mobile and cloud-first architecture. We were the first to develop the mobile application in this space. We were the first to have cloud first, and now we're the first deploying the AI native application. As you think about this application platform, it is not just about the app. It's also about the infrastructure and the back-end architecture that we've developed and deployed now that is really creating these amazing experiences. So when you think about our app, it's a multi-OS app, could be Android, could by iOS, could be on any of those platforms, but it is driven towards multiple devices from the mobile device to the laptop to even the large- sized kiosk, and we will also be on watches as well. We are creating that environment that allows this multi-OS and multi-device capability. The brains behind all of this is the BTS, which is the behind-the-scenes solution that drives their [indiscernible] management. And finally, CXAI view ties it all together with the actionable insights and analytics that drive the user behavior but also drive the enterprise. And all of this is tied to our strategic partners on the cloud. Google Cloud is our biggest strategic partner, but we have now relationship with Azure and with AWS, and we're partnering with all 3 of the cloud providers to provide these end-to-end solutions to our esteemed customers. So now the question is, how does this architecture manifest into customer experiences? And when we think about customer experiences, we think about 4 pillars. The first pillar is this unified employee experience, which integrates 100-plus enterprise tools and functionalities into a seamless employee experience on one single pane of glass. So from a user perspective, you don't have to go anywhere besides CXAI if you want to get your work done. Second part is the spatial intelligence is a key part of the CXAI technology stack, focusing on optimizing physical spaces and enhancing interactions within the workplaces through multidimensional mapping technologies. The third part of this is the experiential analytics. The use of AI to drive insights into employee engagement and workplace utilization is a core component of CXAI, emphasizing the value of data in making decisions as well as measure productivity. And finally, Agentic AI boosts efficiency and productivity by enabling multimodal activated tasks like scheduling meetings with a simple command and features like search and discovery. This streamlines administrative duties driving efficiencies and convenience for employees as well as personalization for on-demand knowledge augmentation. This is the future. This is the future that's here now with us. So when we think about the CXAI platform, we've been talking about the technology. But now from the last quarter, we have actually been out there in the market talking about our marketing initiatives, our branding. And our small marketing team has actually done an amazing job this quarter with 3 main initiatives. Number one, sharing case studies and trend reports based on the actual user data and experiences from our global deployments. We've got around 200-plus cities covered. We have 50-plus countries covered. We have deployments all over the globe. And now we're sharing all of the use cases and the case studies that drive the value, the ROI for the end user. Secondly, we've been starting to work on podcasts on key industry topics. The first one was actually with me with Chris Daigle, who runs ChiefAIOfficer.com. -- and we had a really great off-the-cuff 60-minute podcast that has had a strong response to social media. Feel free to check it out on the attached link. Trust me, it will be 60 minutes of fun as we talk about not only the capabilities of our platform, but the unique experiences we found with our clients that are enabling this amazing experience. Finally, we're going to be talking more about the people that make up CXAI, the human side. We are an AI-first enterprise where everyone in the team, whether they are in sales, marketing, finance, engineering, DevOps, all use AI. And as you can see, the first video we have is of our CFO, Joy, who's on the call, who's an amazing finance expert, but she's actually pretty passionate about AI. And you can see that she has a lot of to say about AI, and she's also a user of AI. And basically, every single employee at CXAI is using AI. It's also part of our Google partnership where we get access to Gemini enterprise access. But my expectation is clear to the team. If you do not use AI in your job function, you will be left behind. And I'm proud to say that every team member on CXAI is using it, and we're finding a lot of great capability and efficiencies because of that. So that's a little bit about the company and what we do. But let me talk about the market. Let me talk about what's happened since we last talked to you guys about the market. And the headline is the corporate real estate world is getting compressed. -- and no pun intended, for the first time in modern history, the U.S. is set to lose more office space than it builds. And that's -- let that sink in. That's kind of an interesting phenomenon. And that is driven by the fact that employees don't want to spend more money on space. They are fine with the space they have. The more important thing that's happening is that the large employers are saying, we want people to come back to the office, not 1 day, 2 day, but at least 3 day. Most of them are asking for 4 days. And actually, there are some that are even asking for 5 days. As you can see, we've been showing you the Flex index charts for the last year, and the trend is going towards more structured hybrid work. That seems the highest. But on that, the return to office or full time in the office has increased from the low 20s to now 33%, but the structured hybrid, which means that you're going to be in the office at least 3 days, mostly 4 days is on the rise. And in the last couple of weeks, we've had HSBC, Royal Bank of Canada, Scotiabank, TD Bank, Rogers, Starbucks also announced 4-day in-office mandates. And actually, one of the headlines that made last week was AT&T's CEO, John Stankey, made a headline saying that if you don't want to show up at the office, you may not be part of the new culture he believes AT&T needs. And so he's making it very clear that he needs it based on performance and loyalty and culture. And so that's where the wind is blowing. It's towards more and more ability to come together in the office so we can collaborate and expand our capabilities. And by the way, just yesterday, the mighty Microsoft was reported to mulling the 3-day return to office beginning in January. So we believe that -- we believe work is anywhere. We believe we can provide the capability where the employees want to be. But the reality is corporations are reversing hybrid flexibility even as workspace density increases and floor plans shrink, pressuring real estate and workplace planners. So we're getting a lot of interest from folks that are saying, you know what, we need a solution to this problem because we're getting less space and we're getting more people back. And the reality is the CXAI platform, the way we designed it is already doing AI- powered desk reservations. They're doing capacity analysis, they're doing space time optimization. It is doing a lot of things that will drive the innovation as well as drive the demand for this stuff. So that's an interesting trend that we see. The second thing that I would like to share on the trends is the hype cycle on AI, which is now getting towards the real estate as well as the workplace experience market. We've actually been working with Gartner for over 2 years as we've shared our Agentic AI story for workplace and employee transformation. I'm happy to say that they are on board with our thinking and their Agentic AI analysts and digital workplace experience analysts who used to have the separate little words have now come together, have combined forces to create this hype cycle for digital workplace applications. And as you can see in the workplace application, the employee experience app, which was the traditional mobile app, is kind of going through a down cycle in terms of people are using it, but the adoption is not that high as people expected because space booking is just one aspect of it. People want to see more than space booking. And then on the other side, you see Agentic AI on the rise, which we, as you know, have been pushing for that for the last 2 years, and we're driving the leadership in that. That is in a little bit of a hype cycle. But at the same time, the reality is kicking in that Agentic AI is here. It's solving problems today for customers and customers have no issues of using the technology because it is solving a real problem for them and creating great value. So we feel very bullish about this opportunity, and we were headlined in this Gartner report. It's out there in July. And -- but Agentic AI is transformational. The way humans interact and collaborate with AI is taking a dramatic leap forward with Agentic AI. The Agentic AI system understands what the goal or vision of the user is and the context of the problem, what they're trying to solve. Agentic AI focuses on competing actions and outcomes versus just assistance. -- like a trusted adviser that is proactive, insightful and acts to solve problems. And that's the key. That's what we've been focused on, and that's where we believe is where the industry is headed. So that's my market overview of what's happening in the market, what we believe. It's pretty obvious to us that this day was coming. I think now is the time that the acceleration of the adoption needs to start happening. So let me talk about what happened in Q2 here for us, and I'll focus on the product and customer highlights. Q2 2025 was a period of strategic execution and deeper customer engagement across our Fortune 1000 base. The company made amazing progress on existing customer growth, adoption and usage leading to high employee engagement with our large enterprise clients. Some of the key highlights, I would say, are 2 of our largest customers renewed this quarter and are accelerating the adoption of all CXAI products as they see incredible usage of our technology platform by their employees. We had our largest ARR renewal with a leading Fortune 50 client that is now planning to expand globally to all sites as well as adopt all of the groundbreaking capabilities on the CXAI platform. They want it all as they want all their employees to experience the magic of CXAI. -- we are seeing more than 150% plus usage at some of their sites, primarily driven by their mandate for RTO as well as the ease of use and capabilities of the CXAI platform. You may ask, how can you have 150% plus usage? Well, it's pretty simple. Not only everybody who is supposed to come to the office comes to the office, but also they're getting people from out of site, out of state or out of city coming in because the headquarters is an important place to be. And we're finding a resurgence of people saying, well, we want to be in person, and we want to collaborate. So they're pretty excited. Now this also leads to interesting problems in terms of capacity planning and trend analysis and seeing what we can do. And we'll show you a lot of the insights we've done with analytics that is a solution for this problem. But it's a good problem to have. And by the way, they are not unique in their demand for this product. We believe that every large enterprise is grappling with this problem. grappling with the fact that people want to come back to the office or asked to come back and there's not enough space for them, and there's not enough ways to collaborate. The other big news for this quarter was one of our new clients is launching major iconic campuses across the U.S. in the coming month that signifies their commitment to scale. Our teams work tirelessly with them, and these sites are going to be in New York City, in L.A., in Miami, all the great centers of excellence for them. So we're really excited about that deployment. And finally, if we talked last quarter, we talked about a CXAI Kiosk. Well, we got our first orders in for that, and that deployment has gone successfully with our clients. And now there are multiple customers lining up for CXAI Kiosk. And we'll talk about how the kiosk is game-changing in the market. Our CXAI platform anchored Agentic AI is now in deployment accelerating workplace transformation at scale. Key products on the CXAI platform gaining momentum, including the CXAI Kiosk, allowing employees to do just-in-time bookings and connections from an interactive stream, all powered by the CXAI BTS that's the brains managing access, space and content on the system, leading to actionable insights and outcomes with the CXAI VU analytics platform. We are committed to being the system of intelligence for the hybrid workplace. So these disruptive new products that I talked about offered by the CXAI platform are a direct result of our partnership with Google Cloud, Agentic AI technologies, creating intelligent, super human-like and proactive personalized experiences at scale is made possible because of this strategic partnership. So I want to thank the Google team, and I want to thank our engineering teams for really working hard on this. And when you think -- we'll talk about all of these other capabilities in detail in the coming slides in terms of analytics, what we've done, where we've rolled it out to all our clients, and now we're getting some amazing insights. CXAI BTS was deployed with our newest client at scale. And now since we've tested it, validated it, we're going to deploy it across all our customers this coming quarter. And then finally, we have the CXAI OneMap experience. We'll show you some examples of that. One place to navigate to book, to connect and more. It's been great working with a new client and putting that together and now all our clients wanting the same experience. We're super excited about that. And I'm going to turn it to the Google partnership now. So our Google partnership and products is moving at a rapid pace as the AI ecosystem has evolved dramatically over the last year. And it's great to see Google Gemini leading the pack with innovation cost disruption. So this year, we just signed our next year commit with Google Cloud. And as part of that, we're getting a lot of great technology capabilities. I'll break it down from infrastructure to spatial intelligence and security. Leveraging Gemini 2.5, CXAI is now enabling automation of nuanced and multi-turn booking requests, significantly enhancing the employee experience where CXAI agents will complete their daily space booking tasks, so employees can be more productive on getting the work done versus scheduling work. And then we're using both the data engineering agent and the code agent in our infrastructure and our core development that's going to accelerate the development of those products. In terms of spatial intelligence, the Gemini data Agents API provides the building block to integrate Google's Booker natural language processing and code interpreter capabilities directly into CXAI VU, resulting in more contextual way insightful outcomes, allowing users to create unique, engaging and accessible data experiences to meet their specific business needs. And we'll show you an example of what we've done there with one of our clients this quarter that's pretty amazing. And given that most of our customer base are Fortune 1000 clients, CXAI provides the enterprise-grade governance framework needed to accelerate AI adoption and value while ensuring trust, transparency and security. We are using the Google Threat Intelligence GTI platform module now in addition to our GCP platform to provide that trusted and secure experience globally. As you look at our demand is increasing with our clients, the deployments are global. Think about a 40,000, 50,000-person organization that's globally, it's a large bank or it's a large entertainment company, no matter what, security is top of mind. And the fact that now usage is happening not in 1 or 2 sites, it's happening in 50 sites, it's not happening with 4,000 users, it's happening with 30,000 users. It's coming to a point where security becomes essential. I would say, existential and essential. And we are partnering with our clients to make sure that we deliver that really on-demand secure experience for them everywhere. So this is a good problem to have, but it's something that as we grow, we are definitely going to make it more and more important. So let me talk about the other products that we are -- we have delivered and that the capabilities that we offer. So you get a glimpse of specifically what are the users using it for and what's the experience like? So let me talk about the OneMap experience. We're implementing the OneMap experience across all our customers now, empowering employees to book, navigate, connect, rate, review all through a single map view. Some framework use cases are colleague booking. You want to see who's in the office before you book. So that's becoming very popular. And it's interesting that even in a small free, if you want to see who's given the office, want to see their pictures, want to make sure they can connect or they can be next to them or nearby them or maybe they want to be far away for them. It gives them the full flexibility and opportunity. Similarly, we've got another interesting use case of emerging notifications where panic button triggers a location sharing or a notification that allows users to very quickly react and also for employees to very quickly inform employees of different actions. So that's also an exciting thing that's now fully deployed. And it's also enabled through that OneMap experience. You don't have to go to a separate map to book, have to get a separate map to navigate. You have one place to go and it's interactive, it's immersive. It lets you interact very easily and it's very easy to use. And that has been really the key part of our drive towards this OneMap experience is that ease of use and that immersive experience. I'm happy to say we just were awarded a new patent on 3D mapping and augmented reality. The patent numbers over there. It's really a cornerstone of our multidimensional map strategy, providing contextual where immersive experiences. This is a future road map for us in terms of developing that multi-D environment, but we believe that a lot of our users are finding the capability to be super interesting and to find them -- to give them more and more context than just booking a room or booking a desk. They really want to see what's in their environment. So super excited about that. So next, let me talk about analytics and spatial intelligence. As you know, we just talked about launching CXAI VU across all our customers. And you've seen this slide before that we talk about all the great things we can do in terms of space optimization, user engagement analytics, give you data-driven decision-making capability. But the more interesting part is give you the insights and the analytics that allow you to do predictions. And that's been really interesting for us as we started peeling the onions with our clients. And then finally, the automation of the dashboard. Some people want to have dashboards, some want to create their own dashboards, some want to have reports in we can print all those capabilities. And this is where we partner with Google in proving that advanced CXAI VU capability. And so let me talk about an interesting model that our team developed. So as we look at all of the hundreds of sites that we have globally, we took a case study with one of our clients who's got the problem of cancellations of bookings. So, the problem exists is that when you book a room, you have the opportunity to keep it until you cancel it. And sometimes people don't cancel in advance or sometimes it auto cancels, depends on the settings through BTS. And the funny thing we found is that we're seeing -- these are 2 campuses. One is in Southeast Asia, where you have enormous number of bookings. Maybe there's 10,000-plus bookings a week, whereas -- or a month. And in some cases, we have only a couple of thousand a month in a U.S. campus. But we found that the auto cancellation or the auto release was independent of the booking volume, like you could have more bookings, but it didn't matter. You still would have the similar number of auto releases or non-auto releases, meaning cancellations. So we -- as we delve further into this, we actually created a model, a prediction model to say, how would we be able to predict what the cancellations would be given that we have all this historical data and usage data. And we do this as a function of the campus, the department, the user title they have, what they booked ahead, how they used it. So we have all the history of the usage as well as the campus. And looking at that, we've created this very accurate prediction model. We think it's more than 90% accuracy on it. But we've been able to showcase to our clients really 3 major business impacts. Number one is real estate optimization. If you look at the number of desks that were wasted or were never ever utilized, we've got a metric on what the cost per desk per day is. And we've realized that for that campus alone, there's a $300,000 of cost savings in there, which is significant for a campus. If you can predict or know that these desks were going to get canceled anyway or these rooms are not going to get booked, you don't need to -- you need to give it to somebody else to use or you don't need to even have those rooms or desk. Secondly, employee productivity, we've seen that the number of hours that we can save an employee -- the team, it's in the thousands of hours per year that we can save in terms of their lack of productivity because they're spending time trying to book and rebook and cancel the auto release feature kind of enables that easily for them. And lastly, when you have these cancellations late in the time before the day comes, people are not utilizing those resources because it's too late to come back. So given that our algorithm can show you that these things will be released -- could be released sooner, could be canceled sooner, we've shown that you can have a 75% savings of the underutilized spaces, which is significant because this means that somebody who wanted to come to the office can now be the office and somebody who wasn't going to come was actually let go earlier. So a very interesting model that we built with our team. We're building these kind of models on top of the Google AI infrastructure that will allow really value-based insights and outcomes to our clients, which is exactly what they're looking for. So I'm super excited about this development. And let me talk about the last but not least, the brains behind our system called CXAI BTS. And BTS stands for behind the scenes. So -- it's not Korean pop. It's really just more about making sure that we have all the capabilities that allow for a great infrastructure for our clients. And the way we think about it now is not just about traditionally, these systems need to have content management systems. We've actually enabled it to have access, space and content management, right? And the newest client that we have is super happy with this unified experience because now you can see everything, one pane of glass, you can see your space, you can see the people using it. You can give them access control and rights to where they want to be, where they want access. And finally, you can distribute content anywhere you want, anytime you want using NLP commands. So, our future with that is we're going to use Gemini to provide NLP-based commands, and we'll be launching the solution across all our clients this coming quarter. But the beauty of the system is that in the traditional old school real estate models where you've got maps sitting somewhere, you've got space information sitting somewhere else, you got people content somewhere else. There's a lot of coordination that needs to happen to actually make some of these solutions work. We're now integrating all those pieces together, providing dynamic updates and creating this really easy solution for our clients to create content, to give access control to folks and manage their spaces more efficiently. So this is going to be a platform play that we're going to do across our clients. With that, this is the end of the product and customer presentation. Let me focus now on finance, and I'm going to move over to our CFO, Joy, to share with you the financial results for Q2 2025. Joy?
Joy Mbanugo: Thank you, Khurram. Turning to our Q2 2025 results. Picking up where Khurram, left off, we saw meaningful ARR expansion this quarter, anchored by 2 large Fortune 1000 renewals. And I just want to note that these aren't just contracts. They're multiyear partnerships that reflect both customer trust and the mission-critical role our platform plays in our operations and in improving overall employee experience. Subscription revenue made up 96% of total revenue compared to 87% just a year ago, showing our progress toward a higher margin recurring model. Gross margin improved to 86% from 80% last year, even as we invested heavily in R&D to accelerate ARR growth. EPS also increased from last quarter and from last year, up to negative $0.16 per share, but that's an increase quarter-over-quarter and year-over-year. And then we're also happy to report that cash on hand, cash as of today year-over-year has increased. So we're really happy with the direction that we're heading in. And if we move to the next slide, we can go into more detail as we did quarter-over- quarter. So revenue held steady at $1.2 million, which is a strong outcome given some of the macroeconomic headwinds and some of the news we're seeing about whether or not we're heading into a recession. It just shows that we're holding steady. You'll see that cost of revenue increased slightly, but that's due to hardware that we purchased on behalf of a client, so that cost is passed through, which brings our gross margin to 86% this quarter versus 88%. So again, above the 80% mark but still holding steady. Overall, operating expenses increased, but that is attributable to some of the investment we had in R&D that Khurram talked about, our continued and expanded partnership with Google, the Gemini tools that we're using, et cetera. So you'll see a onetime pop from this quarter and an increase year-over-year and quarter-over-quarter. But again, that's significant investment that we think is much needed at the time. Sales and marketing has held steady and we will continue to hold steady. We are making investments, but we're being smarter about it, so not spending more dollars, but thinking more about how we can do -- I don't want to use the cliche term more with less, but that's absolutely what we're doing. And we're proud of the work the team has done with the podcast, humanizing CX AI in the case studies, and we'll continue in that vein. Quarter-over-quarter, G&A did decrease. If you remember from last quarter, we had a bit of an increase quarter-over-quarter and year-over-year based on some of the filings and other costs that we had that were baked into G&A. So overall, loss from operations did -- our loss did increase, but it's a significant investment in R&D, and we believe this is the direction that we need to go in. So taken together, Q2 demonstrates our ability to maintain revenue stability, strategically invest for growth and strengthen our market position. This combination, resilient recurring revenue, disciplined continued disciplined cost management and innovation investment is exactly what positions CXAI to capture growing share of employee experiences market where penetration is still just 5% to 20% according to the Gartner survey that Khurram mentioned earlier. That's why we believe CXAI is on a clear path to continue to lead the market in this area in this new vertical. Khurram, over to you.
Khurram Parviz Sheikh: Thank you, Joy. And just echoing what Joy said, we've done a great job in terms of managing our expenses, but at the same time, investing in the right technology sets. And as you can see, our focus really has been on the technology. And as we scale up, we're going to be focusing on sales and marketing as well and growing that base. But we have a very small team working in that area because our best references are our existing clients and the existing clients are loving what we're doing, and they're investing the time and effort to help scale this business. So let me close out by the summary slide of talking about why should you invest in CXAI. I think the fundamental belief that you have to believe is at the heart of CXAI, we also have a simple yet powerful belief. -- put the employee first and everything else follows. It's not just about the work, it's about the people who do it, the places where they come together and the things they need to succeed. CXAI redefines how we think about work, life and the seamless interplay between the 2. And I think we're on to something really big here because as I talk to our clients, who are all the largest brands in the world in the Fortune 1000, and they want to work with us as partners and not just a vendor customer relationship because they want us to solve their problems and their commitment to renew and expand significantly with us in this market establishes us as the leader in this emerging market. There are many other options they could choose to. They could have the large buzz bracket, large $1 trillion dollar companies. They could also have the other start-ups that could be in the space, but they trust us because they know that what we're working on is truly transformational, truly helping them be successful. So we really believe in that transformation. We've shown a continued recurring revenue path, as you see with Joy's numbers. We're increasing the subscriber -- the subscription revenue quarter-over-quarter, and we have a path to profitability based on that because we believe these clients are not easy to get hold of, not easy to scale up. And once we are with them, they want to go everywhere. So we really believe that there's a huge opportunity for expansion with these amazing clients we have. And because of the diversity of deployment and you saw the insights that I showed you, I just give you a snapshot. There's so many interesting insights that we're finding that will allow employers to become more savvy about what to offer to their employees, how to make them more productive in their environment and for employees to also feel like how can I take advantage of all the assets of my company. I think this is a 2-way street where employees and employees have to be together, and we believe CXAI is that tool that brings it all together for them. And finally, we are an innovation-driven team. We've got a great Board. We've got a great management team. We're situated in Silicon Valley. We have partnership with leading innovators, and we're really on a mission to define a new category in software called Employee Experiences. So I'm super excited about it. I think we believe that this opportunity is long term. It's not a short-term opportunity. The demand is coming, and we believe that we are at the right time in the right place with the right technology set to be able to scale this business. With that, operator, if there are any questions from the audience, I know Joy was monitoring them. We can take some questions from the web that's there, and then we can answer them. Joy, do you have any questions coming from the web?
Joy Mbanugo: Yes, there are 2 questions, and we can tag team on them. The first one is, how is CXAI differentiating itself from a larger -- from larger AI competitors in the enterprise engagement space? And what specific areas are driving your competitive advantage? I think I would add in Khurram, let me know what you want to add. CXAI is delivering an enterprise scale AI solutions validated in live complex workplace environment. Our platform enables advanced capabilities such as Agentic AI, based behavior analytics and intelligent employee experience orchestration. A key differentiator is that our enterprise clients actively provide feedback and collaborate with us on a product road map. I get to hear it all the time, sit in the office, and I love to hear it, ensuring that we prioritize and deliver the most valuable features for real-world experiences. So we're not making this up. The continuous loop of engagement from our customers ensures our innovations directly address market needs and drive measurable outcomes. As Khurram mentioned, we're able to ideate, test and deliver innovations because they're based in the Bay Area, the AI hub at the moment. This agility also allows us to respond rapidly to evolving enterprise needs while larger competitors are often a little bit slower to adapt. Our size is our advantage. Our technology consistently supports organizations in improving space utilization, enhancing workforce engagement and optimizing operational efficiency. Khurram, do you want to add anything to that?
Khurram Parviz Sheikh: Yes. That's great, Joy. I think the only thing I'll add is one of the things that we pride ourselves is localization, and this drives to this OneMap experience because a lot of the tools out there are digital tools with the AI space, which definitely, we leverage all the AI tools. I mean we're using Gemini, but we're also using other AI LLMs and tools in our platform. But what they can't do is they don't know the map. They don't know the localization. They don't know some of their user history and data and the contextual awareness. We think that's a strong differentiator for us. And then finally, we integrate all these other pieces together. So it's very hard when you're one product company or focused on that. We're actually more an experienced company. We focus on all these integrations. So I think those are our key differentiator. And finally, it's our great team. We deliver great service to our customers, and they love working with us. So I think those are the 3, from my perspective, the main differentiations for us.
Joy Mbanugo: Okay. We have a second question. Are there any strategic partnerships or integrations in the pipeline that could meaningfully accelerate market penetration over the next 12 months? Khurram, I'll take the first part, and then I think you could take more and go -- you already talked about Google, but it may make sense to do that. But I think we're also partnering with 4 other groups, design build firms, incorporating our solutions into workplace projects at the planning stage. So when a building is being built, that's probably a great time to get in there. Business process automation providers that embed our capabilities into existing client workflows and global real estate firms that are active referrals. So they refer CXAI when their clients are looking for digital transformation and employee experience solutions. And then lastly, any technology ecosystem partners that have engagement platforms and then the cloud providers, Khurram, your thoughts on that?
Khurram Parviz Sheikh: No, that's great, Joy. I think you hit all the different pieces. I think what I would say is that we believe that our best reference is our existing clients, and it's a small network of leaders in the industry because we don't work with just the project managers at these companies. We work with the C levels. So the CIO at these large clients are talking to us. In one case, actually, the CEOs are actually talking to us. But more and more, we have leaders in HR, in real estate and in IT working with us. So all are at the senior executive level. And I think in that -- if you look at that network of people, -- they have a high criteria for quality products, and they have a reference group that's very, very collegial, right? So for us, it's super important to get those clients to be at the maximum level of CXAI experience and then great things will happen. But at the same time, as Joy said, we are working with different partners in the industry. As we integrate, say, a locker vendor, we work with them and we work with parking folks, we work with real estate folks. So those are all there. But at the same time, our key differentiator is the technology, and that's where we partner with the cloud providers that also are providing us a lot of great access to clients but also imply access to technology. So I think it's a great question. I think we talk about it every day at the office. And what we're finding is that, as I said, what's working best for us is references from existing clients. Any other questions, Joy? Or is this it?
Joy Mbanugo: That's it.
Khurram Parviz Sheikh: Okay. Great. Well, I want to thank everybody for joining us on the call. We look forward to giving you updates in the coming weeks and months. We have some really interesting strategic opportunities that we're working on, both from a product, technology and market perspective. So look out for those press releases. And then we will be hopefully scheduling our next earnings call in the November time frame for Q3 and look forward to your interest in CXAI, and thank you for your interest for joining the call and look forward to sharing you future results and future success of the company. Thank you so much. Take care.
Operator: Thank you. This does conclude today's conference call. You may disconnect at this time and have a wonderful day. Thank you once again for your participation.